Operator: Good day, and welcome to the TEGNA's Second Quarter 2020 Earnings Call. This call is being recorded. Our speakers for today will be Dave Lougee, President and Chief Executive Officer; and Victoria Harker, Chief Financial Officer. At this time, I would like to turn the call over to Doug Kuckelman, Head of Investor Relations. Please go ahead.
Doug Kuckelman - TEGNA, Inc.: Thank you, and good morning and welcome to our second quarter 2020 earnings call and webcast. Today, our President and CEO, Dave Lougee, and our CFO, Victoria Harker, will review TEGNA's financial performance results. After that, we'll open up the call for questions. Hopefully, you've had the opportunity to review this morning's press release. If you've not yet seen a copy of our release, it's available at tegna.com. Before we get started, I'd like to remind you that this conference call and webcast include forward-looking statements and our actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures. We have provided reconciliations of those measures to the most directly comparable GAAP measures in the press release. With that, let me turn the call over to Dave.
David T. Lougee - TEGNA, Inc.: Thank you, Doug, and good morning, everyone. In the middle of the ongoing COVID-19 pandemic, our second quarter performance reflects the resilience of our employees, as well as TEGNA's ability to execute on our five-pillar strategy. I remain incredibly proud of all of our colleagues across the country for serving and supporting our viewers, customers, and each other during these extraordinary times as we continue to work to create long-term value for all our shareholders as well as all of our stakeholders. Obviously, the second quarter was a profound time in our country. The death of George Floyd in Minneapolis is, we believe, a seminal moment of clarity regarding systemic racism in our country, and TEGNA is right at the epicenter. KARE-11, our station in Minneapolis, rose to the occasion with balanced and nuanced coverage with many of our journalists there working night and day often in very trying conditions. We have major stations in most of the cities with the largest amount of protest and public engagement, including but not limited to, Atlanta, Louisville, Kentucky; Portland, Oregon; Seattle; Washington DC; and of course, Minneapolis. In those markets and others, our journalists covered the demonstrations and brought their communities together, creating greater awareness of racial issues and facilitating honest discussions about race and inequality through both daily news as well as many significant primetime specials. Throughout their coverage, they remained committed to highlighting diverse viewpoints while their communities and the nation searched for answers, knowledge, and understanding. I want to thank our journalists for their courage, their thoughtful and nuance coverage, and their ongoing commitment to their communities. Diversity inclusion our core company values, but we're taking further proactive steps to address and combat systemic racism in our country, especially given the platforms we have. Among many things, this includes better systems of accountability for how people of color are represented in our content and significantly improving the development pipeline and hiring for editorial and leadership positions in our newsrooms and our entire company. This is and will be an area of heightened focus for our board and management. We are working together to ensure our company reflects the diversity within the communities that we serve in order to better serve those same communities. To further embed that commitment and accountability into the governance of our company, each of our four board committees are going to be taking on specific areas of oversight that the way TEGNA approaches diversity across a number of dimensions. Turning to COVID. TEGNA's established culture of innovation and execution allowed us to act quickly and decisively navigate the pandemic. Our employees have continued to utilize innovative approaches to our work through these unprecedented circumstances. They have done a marvelous job, informing and uniting our communities during a time of dislocation and isolation. I'm especially proud of the balanced Facts Not Fear editorial brand and philosophy from day one of the pandemic. That philosophy has clearly resonated with our audiences across all platforms. And combined with our verified franchise that helps sift facts from fiction among a sea of misinformation and disinformation, our coverage has been a welcome antidote to the anxiety-ridden experiences provided by some national news as well as many social media outlets. Turning now to what we've seen across our TV and digital viewership over the last few months. We've continued to experience significant rate increases in ratings and traffic across all our platforms. Overall, TV viewing for TEGNA has increased to continue to stay high across demographics for both our daytime and late news time slots. Digital platforms saw an even greater rise in consumption, setting records this year across key digital metrics such as visitors, video plays, and monthly active users. In June, we had 76 million unduplicated multi-platform visitors, our second highest month only behind March, the beginning of the pandemic, when we had a record 87 million. Comscore rankings have us in the top 50 digital US properties each month between February and June, higher than many major digital sites including but not limited to Reddit, BuzzFeed, and LinkedIn. This reflects the critical role our local content operations play in the communities we serve, further strengthening our value to clients in the quarters to come as we deliver important, relevant content. Also in the quarter and into July, we completed the relaunch of the Justice Network multicast channel, now called True Crime Network. And as part of that, we introduced a free, ad-supported OTT streaming service for that network that's now available for Apple TV, Amazon Fire, as well as Apple and Android apps for mobile and tablet. Viewers are now able to stream hundreds of hours of true crime stories on demand. Now, as live sports return this fall, we're going to benefit from a large number of unusual events that we would not normally see in the back half of the year that have been rescheduled from the second quarter. Our strong and large portfolio of NBC stations will now benefit, for instance, from the Indianapolis 500, and we have the host city, the host NBC market of Indianapolis now as part of our acquisition. We'll have the US Open Golf Tournament and The Kentucky Derby taking place in August and September. And then The Stanley Cup playoffs in September and possibly into early October. The NBA on ABC is now back on the air, and we look forward to airing regular season and many playoff games on our many ABC stations in the months ahead. Considering these events would not typically take place in the second half of the year when we will also experience extraordinary political advertising demand, we will benefit from having this additional high-value content and inventory in the coming months. These are all Big Four network events notably, and our recent acquisitions have expanded our intentionally concentrated Big Four reach, so we can now deliver these events to a wider audience than ever before. As I mentioned earlier, TEGNA continue to execute well on our five-pillar strategy in the second quarter. This was evidenced by the continued strength of our subscription revenues, which we still expect to be up mid-20s percent for the full year, and our new expectation for political revenues to be at least $370 million for the full year. As political races take shape into the second half of the year, it's apparent that our political footprint will perform even better than we had initially anticipated, partially due to the benefit from recent additions to our strategically constructed portfolio. I'll touch on political in more detail in just a moment. Non-political advertising trends have not yet completely returned to pre-COVID levels, but we are convinced we are well positioned for the rebound in the ad market. These revenues decreased – our advertising and marketing services revenues decreased 21% in the quarter, but as I'll talk about in a moment, had a very nice trend overall. And while it may sound strange to be down 21%, was a very strong result given the consumer economy basically stopped for a period of time at the end of March. Notably, our client base is resilient due to our exposure to large markets where advertising trends tends to be driven more by sizable companies and brands with large balance sheets that are better positioned to resume advertising than many small local businesses, though our sales and marketing teams are doing a great job helping numerous local businesses get back on their feet. Now, I'd like to spend a minute discussing the key drivers of our second quarter performance in more detail. Our subscription revenues grew 37% in the quarter due to rate increases, acquisitions, and corresponding rate synergies from our news stations, all reflecting as well the 50% of subscribers we repriced in the fourth quarter of last year. This growth highlights the solid underpinning of our business in spite of a modest and not unexpected acceleration in sub declines very modest given COVID-19 and the absence of any live sports in the quarter. And notably, we did not see any acceleration of declines from April to May, which was a pleasant surprise to us These revenues have grown substantially in recent years and have proven their resiliency in economic downturns and are once again, and then turn the cash flows they helped produce. On the ad side, our ad sales teams have taken a very innovative approach to helping businesses get back on their feet as well as harnessing new dollars from verticals that did do well and were positioned to do well during COVID. Following our decision last year to bring our national sales in-house instead of using an outside third party, the strategic benefits of this new integrated one TEGNA sales team led the revenue share gains in all but one of our very largest markets and that other market was flat in the markets where there are audited numbers in the market. As we noted on our last quarterly call on the expense side, we took very swift expense actions at the beginning of the crisis and continued to manage all non-essential costs to protect our product, employees, as well as the long-term health of our business. At the beginning of the second quarter, we announced a temporary action that all employees would take a one-week furlough or a temporary pay cut in the quarter, all with the goal of maintaining full employment and healthcare benefits of our current workforce during this difficult time. And I'm pleased to say nobody has lost their job or healthcare benefits due to the COVID crisis. This combined with other actions resulted in savings of almost $40 million in the quarter from our original plan. Many of the new efficiencies that we've learned will carry through as permanent ongoing practices that will benefit our future cash flows. Additionally, our proactive financing decisions, which Victoria will cover shortly in more detail, have provided us with increased flexibility during these unprecedented times. So, our focus on consistent growth drivers over the past few years such as subscription and political revenues also continue to yield durable cash flows that enable us to weather this environment well. As a reminder, there are a number of positive dynamics we expect to drive our financial performance over the next several years. Our first half results already reflect the tailwind from the 50% of our subscriber base that was repriced last year. And we have significant further opportunity for growth in the back half of this year with approximately 35% of subscribers to be repriced at the very tail end of this year. These deals continue to increase the predictability of future cash flows with further upside over time. Now, for political advertising. Political was up significantly in the first half of the year, compared with the prior presidential year 2016, as well as above 2018 on a same-store basis. As we've spoken about before, our portfolio has been strategically constructed to take advantage of increasing even-year political spending with stations in the increasingly large number of high-yield, high-spend battleground and swing states, including but not limited to, Arizona, Colorado, Georgia, Iowa, Maine, Michigan, Minnesota, North Carolina, and Pennsylvania. As political races have taken shape, we are increasingly confident in the outlook for our political revenues reflected in our revised at-least-then expectations for at least $370 million of 2020 full year political revenues. This is not just a reflection of the presidential race but also multiple state and congressional races that bode well for all future even-year political spending. 13 of the Senate seats up for grabs are competitive or potentially competitive right now inside TEGNA markets. There were also 30 House races in our markets currently defined as toss-ups or just lean Democrat or lean Republican, in other words, competitive. And due to shifts in recent months, we could see up to an additional (13:45) House races come into play for us as competitive. And we have two large states in play that we haven't seen before, Georgia, where we have stations in Atlanta and Macon, and we're going to see some presidential spending there and two senate seats. And finally, Texas, where TEGNA has 12 stations serving 87% of the state. Too early to tell where Texas will end up, but there is now presidential spending going on the books for the first time in my career. Returning to non-political advertising, the improvements we have made to the business over the past few years position us well for when the economy more fully reopens. Our OTT advertising platform, Premion, is benefiting from the secular tailwinds of additional viewing on streaming services. And while temporarily slowed somewhat in 2Q, it still well outperformed more traditional advertising services and is now back to experience significant year-over-year growth in this quarter that we're in right now. Our 2Q results during an unprecedented downturn also reflect the strategic and purposeful reshaping of our business and revenue streams over time. The key pillars of our strategy have us well positioned to perform in whatever external challenges we may have ahead of us. And as we continue to navigate through the current crisis into recovery, our board and management team remain relentless in our pursuit of long-term shareholder value through every avenue. We look forward to continue to update you on the great things happening at TEGNA through our focus on supporting our team members and communities, delivering trusted news, relevant content and executing on our strategy to create value for shareholders. I'll now pass the call over to Victoria to cover our financials in more detail. Victoria?
Victoria D. Harker - TEGNA, Inc.: Thanks, Dave. Good morning, everyone, and thanks for joining us. As Dave already mentioned, I too want to thank the entire TEGNA team for their dedication to serving our customers while supporting their families, communities and each other through this unprecedented time. As you've heard us discuss previously, our strategic plan is centered on making smart, proactive capital allocation decisions, which positioned us very well to work efficiently and effectively in a suddenly remote work environment this quarter. These benefits will continue to pay dividends for us well into the future, leveraging shared resources, platforms, and best practices to serve our clients and our viewers seamlessly. Now turning to second quarter consolidated financial results. As a reminder, my comments today are primarily focused on TEGNA's performance on a consolidated non-GAAP basis, providing you with visibility into the financial drivers of our business trends as well as our operational results. You'll find all of our reported data and prior period comparatives in our press release. As we shared with you last quarter, we, like most businesses, suspended our 2020 financial guidance in March, pending greater clarity on COVID-19 market impacts. Over the past several months, we've continued to refine our outlook for the balance of this year in order to help with forecasting. I'll share several key cash-impacting metrics for the full year later in my remarks. For the second quarter, total company revenue was up 8% year-over-year driven by our acquisitions completed late last year, as well as continued growth in subscription revenues and political advertising spending. Excluding the impact of political advertising, total revenues was up 5% year-over-year. In terms of the subcategories of revenue, the breakdown was as follows: subscription revenue increased 37% year-over-year, reflecting growth from both our base business and our newly-acquired stations. This was the result of step ups in retransmission rates for the 50% of subscribers repriced in the fourth quarter of 2019, as well as mechanical subscription revenue synergies achieved through our recent M&A. This continued growth in our high-margin subscription revenue coupled with our political footprint provides us with steady, sizable EBITDA and free cash flow, resulting in a much more resilient portfolio now more than ever, another proof point for one of the key pillars of our strategic plan. Advertising and marketing services finished the quarter down 21% compared to last year, primarily due to the non-political advertising cancellations related to COVID-19 economic contractions. That said we've seen sequential positive progress since the onset of the pandemic, including an improvement by more than 20 percentage points from April till June. Now, to provide some further color on specific advertising sector performance trends. As you'd expect, some categories performed well including insurance, pharmaceutical, home services, which were all up above last year. Home improvement, education, and financial services also performed better outpacing aggregate trends. Not surprisingly, the categories which struggled the most in this shelter-in-place environment were entertainment, travel and tourism, restaurants, automotive, and retail, all of which were down relative to last year. Now, turning to expenses for the second quarter. As you'd saw details in our press release, these include $8 million in expense-related special items driven by fees related to our successful activism defense, offset by our portion of the proceeds from a CareerBuilder divestiture. Our operating expenses for the second quarter were 24% higher on a year-over-year basis, driven predominately by our recent acquisitions, which included 13 new stations, the Justice and Quest networks, as well as programming fees, which include reverse compensation associated with higher subscription revenues. Excluding acquisitions and programming expenses, non-GAAP operating expenses were down 5%. As we discussed last quarter, at the onset of the COVID-19 pandemic, we responded swiftly to implement cost containment measures, including reducing all non-essential costs and discretionary capital expenditures in order to protect the long-term health of our business. Note that these measures were in addition to the continued streamlining of our business processes and company-wide efficiency efforts. As you've heard me discuss previously, many of these have been underway for some time as part of our culture of thoughtful cost management through operational leverage, benefiting our existing stations as well as new M&A. As a reminder, some examples of these efforts include consolidation of our master control, traffic streaming and monitoring platform, creation of shared service centers for all back-office support functions, a company-wide financial system consolidation, and automation of sale support processes. The implementation of our new ERP financial system is now nearing completion which will bring our newly acquired stations onto the same financial platforms as the rest of our stations. Allowing for more holistic analysis, reporting, and forecasting of results. To produce the company-wide cost savings achieved, specifically, during the second quarter, we implemented temporary one-week employee furloughs, pay reductions, and a hiring freeze against the backdrop of travel restrictions and reduced discretionary spending. And as a result, we achieved a meaningful $38 million cost reduction compared to budget this quarter, over and above our previously projected cost takeout efforts. As a result of all of these drivers, reported adjusted EBITDA for the quarter was $124 million. All of our newly acquired stations, as well as our existing ones contribute well for the quarter, despite a loss of high-margin advertising and marketing services revenue due to COVID-19. Interest expense of $52 million were higher than last year due to the acquisitions in the back half of 2019 was also lower than we previously had anticipated. Before providing more detail on our operating results for the quarter, I'd like to remind you the steps we've taken to create a strong and resilient balance sheet well before the current market volatility. As you recall in the second half of last year, we completed $2.1 billion in re-financings at historically low interest rates while extending maturities, including our $1.5 billion revolving credit facility through 2024. It's important to note that the revolver has our only financial covenants, which caps leverage at 5.5 times based on a trailing eight quarter EBITDA calculation. More recently on June 11, we also completed a 15-month extension of the first scheduled revolver leverage covenant step down from 5.5 times to 5.25 times due to occur at the end of September, with subsequent step-down taking place as scheduled after that time. This not only provides us with increased financial flexibility, but allows for greater forecast certainty. You'll also note in our financial statements that after the $25 million term loan maturity was paid down in June, we now have very little debt due over the next 18 months, including $75 million in September and $350 million in 2021. At the end of June, cash on hand was $173 million, which has continued to grow significantly since the end of March when we temporarily paused accelerated debt reduction cognizant of market volatility. Beyond this, unused capacity under our $1.5 billion revolving credit facility contributed more than $650 million to liquidity with $835 million strong. This resulted in total debt of $4.12 billion for the quarter, reducing net leverage of 4.76 times, which is 4.73 times as defined by our revolver covenant calculations. Despite these significant COVID-19 impacts in the quarter, we generated fully $96 million of free cash flow, 17% of total revenue in the second quarter. Receivable collections remained strong and cash benefited from the deferral of $30 million of federal income tax estimated payments, which will now be paid in the third quarter as part of the government response to COVID-19 through the CARES Act. We project we'll remain free cash flow positive each quarter for the balance of this year. Throughout our history, TEGNA has remained prudent and forward-looking in our capital allocation decisions, never more important than during this recent period of uncertainty. We've reprioritized some investments and recently restarted our accelerated debt reduction and continue to deliver our regular quarterly dividend to shareholders. We were also diligent evaluating areas for reduced or delayed expenditures and have scaled back on our CapEx with longer-term benefits, given the current forecasting challenge. As I mentioned before, many of our operational efficiency efforts were under way well-before the onset of the pandemic, proving now to be an increasingly part of our ongoing strategy. We shared last quarter that we would continue to monitor economic conditions and carefully evaluate whether to reinstate our forward-looking guidance. With recent spikes in COVID-19 cases, the full impact of the pandemic remains uncertain, as we are also well-aware. However, there are few areas I'd now like to provide more color on regarding our outlook for the rest of this year, to help frame expectations of future results. First, as Dave shared earlier, we still expect subscription revenue growth of mid-20s percent range for the full year, reflecting the resiliency of these contractual revenues. Second, we also expect full-year political advertising revenue to now be at least $370 million, supported by the expanded competitive footprint in presidential, US Senate, and US House races. Third, we now project full-year total capital expenditures to be $45 million to $50 million for the year, including approximately $20 million to $24 million of non-recurring spend, a $17 million reduction from our prior guidance of $62 million to $66 million. In terms of our net leverage ratio, we expect to be at 4.5 times or less by the end of the year, well below our financial covenant of up to 5.5 times. As a reminder, all of TEGNA's debt is unsecured, and we enjoyed very low interest rates, thanks to our recent refinancings. Fourth, we now expect full-year interest expense to be in the range of $210 million to $215 million, approximately a $10 million reduction to our prior guide. Finally, we project our effective tax rate will remain in the range of 23.5% to 24.5% despite the timing differences in our cash tax payments due the CARES Act I previously discussed. We, obviously, will continue to monitor the COVID-19 recovery macroeconomic impacts to our business, but hope that these full-year cash metrics help provide greater context and color for your forecasting. And with that, we'll now turn it over to Q&A for your questions.
Operator: Thank you. We'll take our first question from Dan Kurnos with The Benchmark Company.
Daniel Kurnos - The Benchmark Co. LLC: Great. Thanks. Good morning, Dave. You know, very impressive political guide. I think higher than most of what all of us were expecting. You gave some really good color. I guess just trying to understand pro forma, you mentioned a few races and, obviously, you've been hesitant to come out and give a number, so that feels like there's some more upside to that. So, just trying to get a sense of what gives you confidence right now to take your number to where it is, how things are breaking books, dollars, and fund-raising levels? And then, secondly, maybe actually going to ask an interesting question kind of on connected TV. I've heard a lot from Roku, Trade Desk on connected TV in the back half of the year and it seems that Premion to be really well positioned to benefit from that kind of trend. So, maybe you could just talk a little bit about what you're seeing on that front it'd be helpful. Thanks.
David T. Lougee - TEGNA, Inc.: Thanks, Dan. Good morning. Let me take the second one first. Yeah, you're absolutely right. I mean, I didn't want to go too long in my script, but you're absolutely right. Connected TV, OTT, generally streaming services and the increase in that, which is really additive to the broadcast business, by the way, because they're still – they're not doing what live linear TV does with those big events, but they have obviously got a lot of additive services, that's a great tailwind for Premion and it's already proving to be true. We've got – all that is, is added inventory and then advertisers will seek it out even more so. It's – Premion, as I said, is doing very, very well and we have tremendous amount of partners and we'll continue to look for even more. On the political side, a number of factors give us confidence in the new higher number. Obviously, the number on the books, we know what's on the book, how we're pacing, but the more – but also, we've got a pretty good handle on history as I talked about in previous. The $14 million to $18 million midterm increase, which is almost 50% for us as well as the increase was a reflection of really pre-Donald Trump and post-Donald Trump spending levels. And so now you're adding on a presidential race and I think recall, I think, we did $280 million in 2018 on a pro forma basis when you talk about all the acquired stations. So now you add a presidential race on top of that. What's changed since we gave our previous at-least-then is two things happened. When Biden got the nomination that – one time looked like Bernie Sanders might get it – when Biden got it that put a bunch of states into play that weren't necessarily going to be in play. And then between COVID and George Floyd, as the president's polling numbers have declined, it's brought even more states into play. So on the president – just talking presidential, the footprint's widened. That trend has done the same thing in the Senate and the House. It took a number of seats that five months ago looked solidly Republican and have put them in play, both in the Senate and the House. And as you know, the money that will go into the Senate to try to get control of the Senate will be stratospheric. We've got two Senate seats in Georgia as I mentioned. We've got almost all of the hot seats that are out there for the Senate. If you look at the toss up column, there's four seats – that's five seats in the toss up column, we got four of them; Arizona, Colorado, Maine, and North Carolina. But now we've got two Senate seats in Georgia that are competitive, which obviously are massive states. Iowa, we've got Michigan, and now we've got seats that – even Mitch McConnell's seat in Kentucky, which is a likely Republican, his opponent is raising an enormous amount of money, with out-of-state money from other people. Same with Lindsey Graham's opponent in South Carolina. So, long-winded answer of saying, the fundraising is huge for all the obvious reasons for the passion in the system and the last four months have only, you all know, increased that passion. Passion turns into fundraising and it's also moved races more into our competitive column. And we also really are benefiting from our new footprint. Being in Pennsylvania, Indiana looks like it now might be in play as well. But, our new stations in Pennsylvania and Iowa and even in Alabama, have just helped us. So, we are very bullish on political as you can tell.
Daniel Kurnos - The Benchmark Co. LLC: Can I just marry the two for a second, just in terms of what you might be seeing on Premion? And just housekeeping-wise, would that just fall in to the general AMS bucket or would you record that separately as a political breakout?
David T. Lougee - TEGNA, Inc.: You're talking about political from Premion?
Daniel Kurnos - The Benchmark Co. LLC: Yeah.
David T. Lougee - TEGNA, Inc.: Are you talking about political, yeah. We book the political on Premion in regular political. So, the numbers I'm giving you, in terms of the strength of Premion excludes Premion political billing.
Daniel Kurnos - The Benchmark Co. LLC: Got it. Thank you.
David T. Lougee - TEGNA, Inc.: Thank you, Dan.
Operator: We'll take our next question from Alexia Quadrani with JPMorgan.
Alexia S. Quadrani - JPMorgan: Hi. Thank you very much. Just a couple of questions. Thanks for all the color you gave on advertising and it sounds like between the return of sports and, obviously, political, it's going to be a much healthier back half than we had thought. But any more color you can give us maybe on the sort of the non-political, more traditional advertising market? I think you called that a few of the categories that stay weak, but I guess any more color you can give us in terms of what's working, what's not, and how is it trending versus what you maybe had anticipated? And just a quick follow-up, I apologize if I missed it, but I think you said on the sub declines, you said no acceleration from April to May. I'm curious if you had mentioned or you could tell us how it's trended right now through August?
David T. Lougee - TEGNA, Inc.: Yeah. Let me take the sub declines first. So, we bottom – we, basically – if you look at it this way, from the end of the year to the end of the first quarter, the declines accelerated by about 1 point. And from the end now of the first quarter, the end of the second quarter, it's accelerated by just under a point, which was better than we had forecasted. So, I knew there were numbers out there on other earnings calls of minus 7 point, we are not minus 7 point. And again, there was zero acceleration – we did see some modest acceleration from, frankly, even pre-COVID. But I personally expected to see more, Alexia, because just people are at home, it's easier to cut the cord when you're sitting around all the time and streaming services, et cetera. But they proved to be more resilient than I thought. Especially the cable companies are doing a really good job. I think, Comcast and Spectrum specifically, doing a really good job hanging onto their customers and we're but for one large satellite provider, these numbers would look significantly different. But – so, anyway, the declines have been less than we had worried relative to COVID. We'll have to take a follow-up on that, if you want, Alexia. On the advertising side, as I said, the pacing, the rate of decline. Advertising, basically, stopped in April, right? And across all categories. But then, frankly, our local sales team's done a great job getting through a lot of local businesses that had – are in the services category that were able to operate but they may have not had marketing strategies, so we put marketing strategies in place. So, as I said on previous calls, we've really expanded our services footprint. And in the quarter, recruitment, plumbers, electricians, retirement homes, alarm, security, bankruptcy, air conditioning and heating, we've got tremendous amounts of increase of dollars in those categories that we went and got. And add to that, some categories, despite the weakness in retail and auto and things like that, where there were some increases in categories like insurance and in education, home improvement obviously, banking and finance. As it relates to overall trends, advertising and marketing services was literally 20 points better in June than it was in April. I think on the last call somebody had said, were you looking at minus 50 points in April? I said no. And it was – AMS was significantly lower than that, but low 40s point would not be an accurate. So, you can kind of guess where it June was. But I will say – don't normally give pacing on the quarters we're in, but given these unique times, just to give you a sense, we finished July now minus 12 points in AMS to show you the level of improvement we're seeing. So, now, in the next few months, we've got political displacement to combine with those issues in the categories. But I did just to give people confidence in what the trends are in advertising shows you how far we've come from April.
Alexia S. Quadrani - JPMorgan: Thank you very much. Very helpful.
David T. Lougee - TEGNA, Inc.: Thanks, Alexia.
Operator: We'll take our next question from Kyle Evans with Stephens.
Kyle Evans - Stephens, Inc.: Hey. Thanks for that July pacing number. That was definitely my question. Could you talk a little bit about your auto outlook and kind of the tier 1 versus tier 3 expectations you have for the balance of the year? I have some follow-ups.
David T. Lougee - TEGNA, Inc.: Yeah, Kyle. I mean I don't and wouldn't have – we're not really doing a forecast by category per se we're just following along, if you will. But, obviously, it felt deeply in April, like very deeply, but like everything in fact it improved by more than 20 points from April to June as a category, but still not below the median on the categories by quite a bit, but it has continued sequential improvement. And July is more than double-digit points better than June. As it relates to tier 1, tier 1 and tier 2 are doing better than tier 3 for us. And they have all the way along and that continues to be the trend, not a massive. No, I take that back. In the third quarter, it's actually a pretty good difference. It's a pretty good difference, which speaks to what I said earlier, which is why on our overall AMS numbers, our largest markets are helping carry the day. So, we're really seeing as well in addition to the share increases in those markets that I referenced.
Kyle Evans - Stephens, Inc.: Got it. And the simple math is that you have about 15% renewing next year in 2021 for 2022. Except for that I think you said in the 1Q call, that you do have some two years, so just on housekeeping is that 15% close enough for those of us doing a (00:39:02) bottoms-up? Thanks.
David T. Lougee - TEGNA, Inc.: Kyle, I'm sorry. Do you think 15% of our subs in 2021?
Kyle Evans - Stephens, Inc.: Yes.
David T. Lougee - TEGNA, Inc.: Those you're asking?
Kyle Evans - Stephens, Inc.: Yes.
David T. Lougee - TEGNA, Inc.: No, it's closer to 30%.
Kyle Evans - Stephens, Inc.: You had...
David T. Lougee - TEGNA, Inc.: In 2021, we're closer to the 30% number (00:39:17).
Kyle Evans - Stephens, Inc.: Sorry, you had $50 million last year, $35 million this year, which means there will be $15 million still hanging in the out year? Is...
David T. Lougee - TEGNA, Inc.: No, no. You're assuming – I think I think what you might be assuming is that everything is a three-year deal?
Kyle Evans - Stephens, Inc.: That's exactly what I'm asking. So it's $30 million, not $15 million?
David T. Lougee - TEGNA, Inc.: Yeah. So they're not. So, that's right. Right now, the estimate, right, based on – could be off by few points based on what sub-trends are between now and then, but that's right. We're looking at $30 million right now at the end of 2021 – by the end of 2021.
Kyle Evans - Stephens, Inc.: Got it. Got it. Thank you. And then lastly, where would you want your leverage to be before you would get serious about looking at other station acquisitions? Thanks.
Victoria D. Harker - TEGNA, Inc.: That's a very good question. Actually, it has, I think, less to do with leverage, which is not really constraining us. We have plenty of firepower. It has much more to do frankly in this environment with valuations and how feasible valuations are? And how well they can be conducted given market volatility? But there's nothing that constrains us from either a policy or the covenants themselves in terms of doing M&A, particularly tuck-ins at this point in time. Obviously, our priority is paying down debt and getting to lower leverage levels which we are doing fairly rapidly and had been prior to March with COVID-19, as you saw from our last quarter. But there's no sort of philosophical or covenant reason we need to get to a particular number in terms of leverage.
Kyle Evans - Stephens, Inc.: Great. Thank you.
Operator: We'll take our next question from Doug Arthur with Huber Research.
Douglas Middleton Arthur - Huber Research Partners LLC: Yeah. Victoria, on subscription revenues, they're up 37-plus-percent for the year six months. Did you say – you continue to say mid-20s-percent for the full year?
David T. Lougee - TEGNA, Inc.: Yes.
Victoria D. Harker - TEGNA, Inc.: Yes. That was our prior guide and we had just said we were still comfortable with that prior guide.
Operator: And we'll take our next question from Jim Goss with Barrington Research.
James Charles Goss - Barrington Research Associates, Inc.: Okay. Couple of things, one, just going further on the leverage idea, you do have a step-down in the covenants. Can you talk about the pace of further leverage reductions and what you expect to get to over the next year or two?
Victoria D. Harker - TEGNA, Inc.: Sure. And just to clarify, Jim, so I said in my comments that we just, in the beginning of June, renegotiated a 15-month extension of our first step down. So, we instead of going from 5.5 times to 5.25 times in terms of the covenant restrictions at the end of September, that will be 15 months out, and then it will be the normally scheduled step-downs that occur after that. In terms of where we are right now, you saw we were at 4.7 times at the end of this quarter. We have already restarted accelerated pay-downs, predominantly the revolver at the moment, because of the drawn amount and the interest cost is fairly low. And we expect to be at 4.5 times or less. And a lot of that will just be depending on the pace of political and from a cash availability standpoint. But we are leaning into de-leveraging quickly.
James Charles Goss - Barrington Research Associates, Inc.: Can you do that much more next year in a non-political year where the capabilities might be a little less or will that sort of hold for another year?
Victoria D. Harker - TEGNA, Inc.: We haven't – we'll continue to pay down debt, it won't be necessarily at the pace given the cash that's produced. Remember, politicals paid-up upfront. So, not only it's a high margin but the cash is paid upfront, but it will just be depending on the pace of the business. But as we've said in terms of the best use of capital at the current environment is to pay down debt.
James Charles Goss - Barrington Research Associates, Inc.: Okay. And you talked about positioning your portfolio to take advantage of swing states effectively, so you can get the most political ad over the cycle. Generally, do you think the swing states tend to be fairly consistent year-to-year though you did mention Texas is now getting more presidential ads? And so, are you able to take advantage of that or is there some inertia that creates the environment for you to do what you're saying you're doing? And also then the crowding out and displacement with the race political expectations, could you talk a little about it? Is there anything more to say in that score?
David T. Lougee - TEGNA, Inc.: Hey, Jim. I'll take that, on the last one. On crowd out, we continue, I think, every year to get better at pricing relative, and also some years, you may have a vast disproportionate of the spending in a handful of markets, which actually really makes it harder to manage the inventory. But it's so widespread. We're just spending it this year. I think we're going to be able to manage crowd out a little better than previous years because of the disbursement of the inventory, but it remains to be seen. As it relates to the footprint, yes. So, if a state is a swing state for presidential, It tends to be a swing state for Senate, right? And then, States like Pennsylvania, Iowa tend to – right now tend to be pretty competitive on other seats, and then Texas is now a place where the House spending – several Republicans decided not to run for re-election because they're worried about their seats. So, the House itself could be a big factor for us, and I think will be in every even year election. So, you go back to that $280 million that we did in 2018, prior – and I think that's going to be – you're going to see strong numbers on every mid-term going forward.
James Charles Goss - Barrington Research Associates, Inc.: Okay. Last thing. Changes in the FCC post-election, is there any likelihood of any issues would be addressed once the election is over? And what would be on the table, say, with the Republican win versus a Democrat win?
David T. Lougee - TEGNA, Inc.: You know, Jim, it's honestly (00:45:59) too early to tell. It's also got to do with who goes in as FCC Commissioner. So obviously, it'd be different dynamics on both sides of the aisle. But I do believe I'm a little bit optimistic that, on the Democratic side, which has been typically less helpful in the past on regulatory matters that there is younger and younger staffers both in Congress and on the eighth floor of the Commission that understands some of the needs for why the consolidation makes sense. So, maybe a little overly optimistic on that, but we're not banking on anything at this point relative to the cap, regardless of which party takes over. But we'll go ahead and see. In the NAB, our trade association, in recent years, has done a very good job on managing whichever administration is in play.
James Charles Goss - Barrington Research Associates, Inc.: All right. Thanks.
Operator: We'll take our next question from...
David T. Lougee - TEGNA, Inc.: Thank you, Jim.
Operator: ...Steven Cahall with Wells Fargo.
Steven Cahall - Wells Fargo Securities LLC: Thanks. I'd love to get your view on whether sub-declines are impacting retrans or reverse comp. Just thinking about the 50% that you did at the end of last year, and then you're probably getting into the 35% this year. So, is that either making MVPDs a little less convivial? Or any other national networks seeming more aggressive? Or is it just, kind of, business as usual?
David T. Lougee - TEGNA, Inc.: You're asking on both sides of the equation, Steven, in negotiating with MVPDs and negotiating with networks?
Steven Cahall - Wells Fargo Securities LLC: Yeah. I'm just trying to understand if the acceleration of sub declines has, kind of, impacted those discussions on both sides?
David T. Lougee - TEGNA, Inc.: Yeah. I think – so, I'll just say, so, we haven't negotiated anything of size yet since COVID started. But I would simply say what we've seen in recent years, as sub trends increased, is that the value proposition of strong Big Four affiliates has only increased, right? So, the existence of any meaningful linear system is dependent on the Big Four. So, ironically, as sub trend – as sub declines have increased, the Big Fours have only increased in importance and value, because every consumer wants them, the big events, I just talked about, are on them. So, we like our chances. What people forget a lot, I think if you look at the ARPU for a lot of the MVPDs, they are – on the revenue side, they're shedding a lot of non-necessary cable channels in the consumers' eyes.
Steven Cahall - Wells Fargo Securities LLC: Yeah.
David T. Lougee - TEGNA, Inc.: Whether it's secondary channels or if I'm not a sports fan, maybe it's a sports tier, but not the Big Four, right? And I think there's a lot of cord shaving going on. You got a lot of customers now that have not – they're not cord cutters, but they got less channels and they're paying for less channels, but we're there and we're getting paid the same. And, remember, our rate increases are more than offsetting sub declines. On the network side, we haven't negotiated a newer deal. We will be, obviously, at the end of this year. We got a good relationship with that network. We bring a lot of value to them. We'll see where they are on the content side and what programming they've renewed and what they look like in terms of the value proposition of what they're going to offer and other than that, I wouldn't speak to that negotiation but I think just given our scale with that network and the value we bring to them on ratings, over-indexing on ratings that we're in a good position relative to that deal.
Steven Cahall - Wells Fargo Securities LLC: Great. And then could you talk about maybe college sports and NFL a little bit? Some of your peers have quantified that as a percentage of revenue or ad sales. So would just love to get a little bit of color given that there might be some shakiness at least on the college sports side as to whether that's a material aspect to your advertising business?
David T. Lougee - TEGNA, Inc.: Yeah. I would say college is pretty immaterial for us. For NFL, basically all football all-in would be of our total revenue very low single digits, okay, for the course of the year. But we're also – as I mentioned earlier, we've now got – there is a demand for live sports so we've done a lot of new live sports in the third and fourth quarter we didn't used to have. So, you look at the ratings right now, the NBA Finals on ABC are going to be selling at a far different rate, I think, than what we had before. They'll be on a political window. These other events I spoke about, a US Open golf tournament, you might not have talked about that a lot in years past, but that will have now a very high-end audience. It's on all day with a tremendous amount of inventory. And in a world of COVID, that stuff has a lot higher viewing. So we've got some offset especially because we own a lot of NBC, right, because they've got all these additional events in the third and fourth quarter.
Steven Cahall - Wells Fargo Securities LLC: And then just last one for me and sorry if I missed this in the prepared remarks, could you maybe talk about your increase in political spending? How much is that candidate spending versus like the PAC or issue advertising, which I know typically gets a much higher price?
David T. Lougee - TEGNA, Inc.: You mean a percentage of the increase, you mean, of our guide?
Steven Cahall - Wells Fargo Securities LLC: Yeah, qualitative or quantitative yeah, either one. Just trying to understand how much of this is like, the candidate fundraising and how much of this is all the other money that kind of circles around that?
David T. Lougee - TEGNA, Inc.: I mean, look, the majority of it every year will be issues – what we say issue, technically when we say issue, that includes PAC spending for candidates, right. So, candidate spending, itself money raised by Joe Biden or Donald Trump won't be the majority of the spending. It will be the PACs contributing, whether it's to Senate majority, political committees, Republican Committee and remember the lowest unit rate is limited to the candidate ads. And so, the vast majority will be – let's call it PAC spending. We will also see a significant amount of state-wide ballot issues, like we do every year and that actually adds up to a significant amount of dollars.
Steven Cahall - Wells Fargo Securities LLC: Great. Thank you.
Operator: And we'll take our last question from Craig Huber with Huber Research Partners
Craig Anthony Huber - Huber Research Partners LLC: Great. Thank you. I got a few questions. Just to be clear, the pro forma ad revenue number adjusted for the acquisitions in the June quarter, the core number, was that down say 33%, 34% year-over-year?
David T. Lougee - TEGNA, Inc.: A little lower than that Doug, just a little lower than that.
Craig Anthony Huber - Huber Research Partners LLC: Okay. And then...
David T. Lougee - TEGNA, Inc.: What did you say? 31%, 34% – what did you... (00:52:43)?
Craig Anthony Huber - Huber Research Partners LLC: I said, 33% to 34%.
David T. Lougee - TEGNA, Inc.: Yeah. Low end of that.
Craig Anthony Huber - Huber Research Partners LLC: Low end. Thank you. And then my next question, the down 12% number you mentioned for the month of July, I assume that – does that include the small acquisitions in there, when you say that number?
David T. Lougee - TEGNA, Inc.: I'm sorry, yes, that is pro forma for the acquisitions. The AMS numbers I just gave you are pro forma for the acquisitions, same-store basis. So, that minus 12 point in July is same-store basis with the acquisitions.
Operator: Thank you. This concludes today's....
David T. Lougee - TEGNA, Inc.: ...and that's the final.
Operator: Thank you. This concludes today's question and...
David T. Lougee - TEGNA, Inc.: Thank you. Thank you, operator. Go ahead, Shelby.
Operator: I would now like to turn the conference back over to the speakers for any additional remarks.
David T. Lougee - TEGNA, Inc.: Thanks, Shelby. Just once again, to conclude, I again want to reiterate our commitment to protecting our employees, supporting our clients, and serving our communities. And again, thanking all of our TEGNA colleagues across the country for their courage and their great work during extraordinary times. We are executing on our strategy, as I said before, to create long-term value and on our mission to serve audiences with important local news information and entertainment, and will continue to do so. If you have any additional questions we were unable to cover today, please reach out to Doug Kuckelman, 703-873-6764. Thank you.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.